Operator: Good day and thank you for standing by. Welcome to the Apogee Enterprises Fiscal 2023 Third Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to our speaker today, Jeff Huebschen. Please go ahead.
Jeff Huebschen: Thank you. Good morning, everyone and welcome to Apogee Enterprises fiscal 2023 third quarter earnings call. With me today are Ty Silberhorn, Apogee’s Chief Executive Officer and Mark Augdahl, Interim Chief Financial Officer. I’d like to remind everyone that there are slides to accompany today’s remarks. These are available in the Investor Relations section of Apogee’s website. During this call, we will reference certain non-GAAP financial measures. Descriptions of these measures and a reconciliation to the nearest GAAP measures are provided in the earnings release and slide deck we issued this morning. As a reminder, the prior year results for the Architectural Framing Systems and Services segments have been recast to reflect the move of the Sotawall business from framing into services. Pro forma segment results reflecting this change are included in our earnings slide deck. I’d also like to remind everyone that our call may contain forward-looking statements. These reflect management’s expectations based on currently available information. Actual results may differ materially. More information about factors that could affect Apogee’s business and financial results can be found in today’s press release and SEC filings. And with that, I will turn the call over to you, Ty.
Ty Silberhorn: Thanks, Jeff. Good morning, everyone joining us online. This is another great quarter for Apogee with double-digit revenue growth, significant margin expansion and strong cash flow. I am very proud of the team’s execution this quarter and the progress that they have delivered this fiscal year. This morning, I will discuss the highlights from the quarter, how our strategy is driving sustainable improvements in our business and the opportunities we see for further gains. Then I will turn it over to Mark for more details on the quarter and our outlook before we take your questions. Let’s start with our third quarter highlights, which are on Page 4 in our presentation. Revenue was up 10% this quarter. This was led by Framing Systems, which has posted double-digit growth each quarter this fiscal year. It was also encouraging to see solid revenue growth in the Glass segment. As a reminder, it’s been over a year since we announced the closure of our Statesboro and Velocity locations and we are starting to see the early benefits from our mix shift to more premium products in Glass. Overall, operating margin came in at 9.4%. This was up more than 300 basis points compared to adjusted operating margin in last year’s third quarter. In the year since our Investor Day, we have made tremendous progress toward our goal of delivering annual operating margins greater than 10%. Like the past few quarters, margin gains were driven by effectively managing the balance of pricing relative to higher operating costs, improved operational execution and productivity gains and sustained [ph] savings from last year’s restructuring actions. With the strong top line growth and margin expansion, adjusted earnings per share were up 70% coming in at $1.07. This was another record for adjusted EPS, beating the previous record that we set last quarter. We are also pleased with our cash flow as we generated $54 million of cash from operations. This was a strong result following the softer than normal cash flow in the first half of the fiscal year. We still have work ahead of us to improve our working capital, but the third quarter was very encouraging and we expect further progress in Q4. These strong results continue the trends from the first half of the fiscal year. Through executing our strategy, we have made sustainable improvements in our business. As a reminder, an overview of our three-pillar strategy is shown on Page 5 of our presentation. We began implementing the strategy in the late summer of 2021. Since then, our team has made tremendous progress. Across the company, we are building a results-driven culture focused on improving operational execution and providing exceptional value for our customers. We have made fundamental improvements to our cost structure, especially in Framing Systems and Glass. We have established renewed energy around productivity through our Lean initiatives. We strengthened our focus on differentiated products and services and we have improved our approach to managing the balance between our costs and pricing while staying competitive in the marketplace. Most importantly, we are building the capabilities to enable sustained profitable growth in the years ahead. These initiatives include revitalizing our talent development programs, driving process standardization across the enterprise and strengthening our M&A capabilities. Through all these efforts, we are transforming Apogee into a higher performing more resilient company. Since launching our new strategy last year, we have raised the bar on margins and earnings establishing a new baseline of performance as shown on Page 6 of the presentation. With this stronger foundation, we are excited about Apogee’s future. We have already made significant progress toward the financial goals we set during our Investor Day last year and I am confident that we will drive further advancement in the quarters ahead. We are still in the early stages of our journey with Lean and the development of the Apogee Management System and these efforts have the potential to still drive meaningful productivity gains for the next few years. We are also early in our efforts to shift our sales mix. We are pivoting towards more differentiated products and services that support our goal of becoming an economic leader. Over time, this shift should lead to a more resilient business model with sustainable opportunities for profitable growth. We are also pursuing several other important opportunities to drive organic growth. These include investments to scale and grow the Services segment, capacity investments to enable growth in Large-Scale Optical and geographic expansion in both Framing Systems and Architectural Services. Finally, our strong balance sheet and cash, cash flow provides the flexibility for value-creating capital deployment. We are stepping up investments in higher return capital projects. We are building a pipeline of M&A candidates along with the processes and team that we will need to evaluate and integrate any potential acquisitions. We will also continue to return capital to shareholders through a growing dividend and opportunistic share repurchases and we are committed to maintaining a strong financial position. We have great momentum as we wrap up fiscal ‘23 and look ahead to the next fiscal year even if markets should soften. And I am more confident than ever in our team and the direction of our strategy. With that, let me turn the call over to Mark for more details on the quarter and our guidance.
Mark Augdahl: Thanks, Ty and good morning, all. Q3 was another strong quarter for Apogee as the execution of our strategy continued to drive improved margins and performance. Let me provide more details, starting with the consolidated results on Page 7 of our presentation. Third quarter revenue grew 10% to $368 million. Like the past two quarters, growth was primarily driven by inflation-related pricing in Framing Systems. The Glass segment also had double-digit growth. Operating income increased to $34.8 million and operating margin improved to 9.4%. This was 310 basis points higher than the adjusted margin of 6.3% last year. We have now had four consecutive quarters with adjusted operating margin greater than 8%, putting us well on our way to our margin target of greater than 50%. Looking at the non-operating lines of the income statement, interest expense increased $2 [ph] million. This was driven by a combination of higher average debt balance and higher interest rates. The tax rate in the quarter was 24.8%, in line with our expected long-term average rate. Our diluted share count was $22.3 million, down 12% from last year due to our share repurchases over the past year. Putting it altogether, earnings grew to $1.07 per share – per diluted share, up 70% compared to last year’s adjusted earnings per share. Let’s move on to segment results on Slide 8, starting with Architectural Framing Systems. Framing had another very strong quarter, revenue [Technical Difficulty]. This was primarily driven by pricing actions taken to offset inflation of raw materials, labor and other operating costs. Operating income was $22.1 million. This was Framing’s third straight quarter with operating income over $20 million and margins improved to 13.4%, up nearly 500 basis points compared to last year. In the first half of the fiscal year, Framing margins benefited by $5 million from the volatility in aluminum pricing and the timing of inventory flows. As we expected, that benefit did not repeat this quarter and we don’t expect it to repeat next year. Framing Systems also benefited from an insurance settlement received this quarter, which increased margins by about 30 basis points. Turning to Architectural Services, revenue was down 3% on slightly lower volume. Operating margins came in at 5.9%. The segment’s margins remained below last year’s level, primarily driven by lower profitability on legacy Sotawall projects. Margins were also impacted by costs related to investments we are making to enable future growth and scale and services. This mainly involves hiring and developing talent to expand our capacity. Despite the year-over-year decline, we are pleased with the sequential margin trend in services. Third quarter margin was 80 basis points better than Q2 and we expect further sequential improvement in the fourth quarter. Services backlog did decline this quarter following a large step up last quarter. As a reminder, services, orders and backlog can have significant variability from one quarter to the next as it is typically driven by a small number of large orders. Backlog and strong at $741 million, which is above the year-ago level of $722 million. In Architectural Glass, the team continued to make terrific progress in this strategic shift. Revenue grew 10% to $81.5 million. This was driven by improved pricing and product mix and reflects our strategic shift away from pure volume towards more premium products. Operating margin continued to trend higher, reaching 9.1%, adjusted operating margins in Glass have now improved sequentially for five consecutive quarters. Margins benefited from pricing that offset inflation, the improved sales mix and productivity gains from our Lean program. Large-Scale Optical continued to deliver steady performance. Revenue was down slightly, primarily driven by lower retail volumes. Operating income was up $1.1 million in the quarter, with operating margins of 26.7%. This was primarily driven by lower operating costs and increased productivity. As a reminder, in last year’s third quarter, LSO had lower-than-normal profitability, primarily from higher freight costs. This quarter, LSO had $500,000 benefit from a property tax adjustment. Finally, I’ll mention a couple of things on the core – for corporate costs, which increased by $1 million in the quarter. This was primarily due to higher health insurance costs as we’ve seen those steadily increase over the past year. This will likely remain a headwind in the upcoming quarters. Let’s turn to cash flow on the balance sheet on Page 9. In the third quarter, we had $54 million of cash flow from operations. This was an improvement from the previous two quarters, which were impacted by increased working capital requirements. We are now strongly cash flow positive for the year, and we expect continued solid cash flow in the fourth quarter. Year-to-date, we’ve had $18 million of capital expenditures, we plan to continue to ramp up capital spending in the fourth quarter. This includes investments to expand capacity in our higher-margin businesses, enhanced productivity through automation, and deploy improved systems to better support our business. We continue to expect full year CapEx of approximately $40 million, depending on timing and execution of some larger projects. Other than CapEx, our primary use of cash in the quarter was debt reduction. We paid down $47 million of debt in the quarter. This puts our leverage well below our targeted level of 1.5% of EBITDA. Let me wrap up by discussing our outlook, which is found on Page 10. Based on year-to-date results and our expected range of results for the fourth quarter, we are narrowing our full year earnings guidance to a range of $3.90 to $4.05 per share. At the midpoint, that is 60% growth over last year’s adjusted EPS. We now expect full year revenue growth of approximately 10%. In the fourth quarter, we do expect a step back from our revenue and earnings run rate over the past three quarters. Some of this is driven by our normal seasonality in our business. The winter slowdown in connectivity mainly impacts our Framing Systems, which is the most profitable of our Architectural segments. This year, we are planning extended maintenance shutdowns at a few facilities in Framing and Large-Scale Optical segments. This will negatively impact revenue and profitability in the fourth quarter. We also expect interest expense and healthcare costs to remain headwinds in the fourth quarter. Even with these headwinds, we expect to close out the fiscal year with a lot of positive momentum in our business. We are positioned to drive continued progress toward our financial goals in the year ahead. With that, I’ll turn it back over to Ty for some concluding remarks.
Ty Silberhorn: Thanks Mark. To wrap up, our team continues the successful execution of our strategy, delivering sustainable financial results. We are transforming Apogee into a higher-performing, more resilient company which is demonstrated by our financial results over the past year. We’ve raised the bar for both margin and earnings performance with year-to-date adjusted operating margins improving by 350 basis points and year-to-date adjusted EPS up nearly 100%. Even with this significant progress, we’re confident that we have more runway ahead of us to drive further progress toward meeting and exceeding our financial goals in the years ahead. Let me close by congratulating the entire Apogee team on their continued success and wishing everyone an enjoyable holiday season. With that, we are ready to take your questions.
Operator: [Operator Instructions] Our first question will come from Chris Moore of CJS Securities. Your line is open.
Chris Moore: Good morning, guys. Congratulations on a actually great three quarters but great Q3. Maybe just start with the revenue growth there. So 10% growth in Q3, can you give just kind of a rough split between price and volume there?
Mark Augdahl: Yes. This is Mark. The growth actually this quarter was primarily, in fact, all driven by price because our volume was actually down slightly. So primarily, it was price. But remember, in Glass and AFS, we have stepped away from some profitable, some non-unprofitable work or less profitable work and those are the primary drivers of our volume shortfall.
Chris Moore: Got it. That’s helpful. In terms of the Service’s backlog, down a little bit sequentially that can jump around as you talked about, during Q2. I know you had project wins in transportation and healthcare. Just wondering if there are any kind of subsegments that are driving current business and also just kind of the pricing of these new contracts, how do you characterize them?
Ty Silberhorn: Yes. Chris, this is Ty. I would look at it – again, there is choppiness as you note yourself, and we’ve commented that. That’s been kind of a theme throughout the year. So having a strong couple of months followed by a week, month or two, in this case, it kind of piled up and ended up being a down quarter from a backlog perspective. We continue to have the team’s focus on diversifying what’s in that backlog. So we made a significant step change in kind of the reduction of the exposure to office in that backlog last quarter. The team continues to work to diversify that mix as we go forward because we didn’t have a lift in backlog, I would say that, that mix hasn’t materially changed from what we talked to in our Q2.
Chris Moore: Got it. That’s helpful. Appreciate it. And last one for me. Just in terms of the operating margin progression that you’re seeing, assuming fiscal ‘23 is somewhere in that 9% range, just looking at ‘24, even if markets kind of soften a little bit further, do you still expect any improvement in operating margin ‘24 versus ‘23?
Ty Silberhorn: Yes, it’s a great question. Of course, we’re not ready to talk about fiscal ‘24. But as I alluded to in my comments, we’ve made sustainable improvements in our execution and how we’re driving productivity across the organization. Price has been a factor, but that price is also driven by us focusing on higher value product offerings and products and services where we can show the differentiation and the value to our customer base. So as we step into fiscal ‘24, we still see a lot of runway to continue that work. I still put our Lean efforts in the very early stages. Glass has probably made the biggest step change and probably gets tougher for them to drive a significant step-up in margin through those Lean and productivity efforts. But in our Framing business, while they did get some one-time benefits, we don’t expect to repeat that roughly $5 million in Q1 and Q2 on inventory valuation. There is a lot of opportunity there to drive significant productivity to offset that and put us in a good position even in a soft market.
Chris Moore: That is very helpful. I will leave it there. Thanks, guys.
Ty Silberhorn: Thanks, Chris.
Operator: Our next question will come from Eric Stine of Craig-Hallum. Your line is open.
Eric Stine: Good morning, everyone. Thanks for taking the questions.
Ty Silberhorn: Good morning, Eric.
Eric Stine: So just curious I know you had the slide where you are talking about a new baseline that you’ve established and it’s roughly $0.90 a quarter in the past, and this is under previous management, there had been target or thoughts of what can this business do regardless of the cycle. And so I think, obviously, timely given that you’re seeing a little bit of softening, I mean, is there any way that you think about what that new baseline is beyond where we are currently, but given that you’re early in a lot of your initiatives, if you look out a couple of years, do you have sort of a thought of what that new baseline might be regardless of where things are in the cycle?
Ty Silberhorn: Yes, Eric, it’s a great question. I guess I would start with what we laid out in Investor Day. So our first step is to get the company to greater than 10% EBIT as a whole. And clearly, we’re tracking to that this year. And we haven’t seen any significant volume lift in the work that we’ve done to get to this 9% range. So as we go forward, I think we continue to perform. I think we’ve definitely raised the level in terms of if there is softness in the market. We haven’t set a number, but we don’t see as big a dip. If you go back to those ranges that we guided across the segments, so Framing would be the big one, and that’s outperforming this year. We had guided to 9% to 12%, they are actually running ahead of that. I think it’s realistic that barring a significant falloff in the market that would drive volumes significantly down that we’re probably going to see them now over at the higher end of that range as we move ahead. That lifted their baseline bottom performance, if you will, even in a down year. So that 9% to 12%, as an example, 9% is in a really soft year. We feel like we’ve got enough controls in managing our operating costs that even in a material down year that we should be able to keep to, at worst case that 9%. So I think as we’re stepping into fiscal ‘24. And as we start to look at our guidance for that, we will take an evaluation of where the market – where we think the market is going to play out. And then as we look across the businesses, how we see those ranges performing in fiscal ‘24 and at some point, probably have to revisit those long-term goals that we laid out a year ago.
Eric Stine: Got it. That’s helpful. And then maybe last one for me, just obviously not ready to call specific ranges for fiscal ‘24. But in the past, you have talked about kind of visibility beyond backlog, bids and process awards not yet booked, etcetera. So, just thoughts on maybe the confidence that gives you heading into fiscal ‘24?
Ty Silberhorn: Well, one, we would start with – we referenced FMI as one of the firms that we looked at forecasts and we talked about wanting to outperform the market and using that as a base. They have had a revision just in the last month or so. They are still calling for growth in ‘23 [ph] of about 4% in non-resi. And that’s the bulk of our fiscal ‘24 would fall into calendar ‘23. So, we see that as the positive. We continue to see choppiness in bid activity and award activity. So, that’s something that we will continue to monitor because for us, that would be a leading indicator of – yes, the market does look like it’s still poised for growth as we go into next calendar year or we start to see some signals that may be a softening, right. Right now, we don’t have any data that would argue against that projection by FMI. I mean it looks to us, just given the backlog that were built up and the activity that was started in the past year that we are probably going to still see growth certainly on a dollar and probably even on a volume basis, but certainly on a dollar basis, that non-resi construction is going to see growth in calendar ‘23.
Eric Stine: Okay. Thank you.
Operator: One moment, and our next question will come from Brent Thielman of D.A. Davidson. Your line is open.
Brent Thielman: Hey. Thanks. Good morning. Ty, the strategic shift in the glass business has been a big focus since you came in, and I mean it looks like it’s paying off. I am just interested in the quality of work that you are adding. How buoyant is that kind of new focused market in terms of activity? And maybe just what surprised you as you have taken this initiative on in this segment through the results over the last few quarters?
Ty Silberhorn: Yes. Good morning Brent, that’s a great question. This is really the first quarter where we started to see some of the mix shift starting to add to the profit performance. I think that is still an opportunity as we go into fiscal ‘24 for glass. The bulk of the earnings and margin improvements that you have seen this year so far in glass has been through the productivity efforts and sustaining, cost savings benefits that we had took a year ago. So, as we step into F ‘24, we are seeing good bid quote activity. We are seeing good award activity that is pointing to that mix shift being a tailwind for the business. And we are not there of – from a glass standpoint, we are interested in seeing that shift occurs. So, we are not asking them to drive meaningful volume growth, will take the positive volume, but we want to continue to see that margin perform by selling those higher-value products. And what that will lead to is and higher average selling price per square foot because they are selling a higher value product at the end of the day. So, we started to see the early signs of that, and we feel pretty good as we look at what they are starting to build in their award backlog now.
Brent Thielman: Ty, is there a way for us to think about through what you executed in the quarter? What percentage was the higher value sort of product versus maybe still kind of the lower value stuff you kind of work through the business?
Ty Silberhorn: Well, I would say that just as I commented earlier, what I wouldn’t break that out per se, but the point being that most of the margin gain you have seen in glass year-to-date is almost entirely restructuring cost savings benefit and productivity through lean efforts in our Owatonna facility that is paying dividends. So, I think as we step into F ‘24, I think it’s going to be tougher for them to make the kind of step-up change they had in margin through productivity. So, as we start to go into F ‘24, any kind of margin improvement is probably more so going to be attributed to that mix shift.
Brent Thielman: Yes. Okay. Helpful. And – when do you anticipate exiting some of the lower-margin Sotawall projects? And then when you look at the mix of business being added to the backlog and services, which I assume a lot of that gets executed kind of next year. Does the profile of that work kind of support a return to that sort of high-single digit annual margin in the segment?
Ty Silberhorn: Well, I think there are two elements in there with respect to Sotawall. So, one, if you look at the integration work that we are doing on Sotawall, we believe that we will continue to see some productivity and efficiencies gained through that integration, which is well underway and the bulk of that will be behind us, certainly as we get through Q1 and into Q2 of next year. From a margin degradation perspective, remember that our Harmon brand within services, a lot of the jobs being executed this year and at least early onset of our next fiscal year were jobs that were during the very depth of the COVID pandemic, when business really started to slow and fall off. So, as they were winning that business, there was certainly margin pressure. So, we expected the Harmon core business to have some margin challenges in this fiscal year and a little bit into our fiscal ‘24. So, I think it’s a combination of those two things that you are seeing show up, Sotawall being the bigger drag. As we move forward, I think we are looking that we should see continued improvement in the margin overall, getting back up into that high-single digit. We will have to see how we do from a productivity and efficiency standpoint, but we are looking now at kind of the jobs that they are winning that are starting to – would actually run through fiscal ‘25 into fiscal ‘26. And there, we are starting to see some of that margin improvement come back because there has been strong demand over the past 12 months as they have gone through that bid activity.
Brent Thielman: Okay. Just one last one on back on framing and it looks like aluminum prices have sort of been reaccelerating here recently. Just curious if the market has been sort of receptive to your ability to push that through, pass that on?
Ty Silberhorn: Yes. We have been very aggressive, but at the same time, making sure that we are staying competitive from a price standpoint. So, in many cases, we were actually leading the market and making price adjustments based on those high costs. To our knowledge, it appears that most of the competition has done the same or similar over time. So, we feel that we are in a good position now and we would change our pricing model, our ability to flex more quickly, especially in the short-cycle business, that puts us in a good position to be able to manage this. That said, we also want to stay competitive. We want to make sure that we are winning business and that we are focused to drive volume within framing, particularly in our storefront and finishing business, which has some nice margin profile that we want to make sure that they are continuing to grow. So, I think we are in a good spot and don’t see any major challenges right now on how we are managing that.
Brent Thielman: Okay. Thanks guys. I will pass it on.
Ty Silberhorn: Thanks Brent.
Operator: [Operator Instructions] Our next question will come from Julio Romero of Sidoti & Company. Your line is open.
Julio Romero: If you could talk about the Large-Scale Optical segment, I know the third quarter can always be tricky in terms of sales lumpiness. Did you maybe see any lumpiness one way or the other in the quarter that would lead you to have either a stronger or weaker fourth quarter relative to maybe your expectations three months ago?
Ty Silberhorn: Well, I think the one thing – good morning Julio, this is Ty. The one thing I would remind, as Mark highlighted, they did see a benefit from a tax rebate, from a property tax recovery. So, that affected their income for sure in the quarter. And obviously, that’s not going to repeat. They tend to see a little bit softer Q4 because as you have holiday demand, that’s usually pulling in our late Q2 and a chunk of our Q3. So, we expect that we naturally are going to see a little bit of softness from a revenue perspective in that business. The other thing I would highlight is just given how they have performed through the year, and we are making some capital investments there. We also expect in Q4 that we are going to take some longer downtime that is in our plan at one of their core facilities for our maintenance. I think in the past couple of years, we have done kind of three days to five days and not just in LSO, we have got a couple of other sites that we are looking to do 7 days to 10 days of maintenance downtime kind of taking advantage of where we are sitting right now and how we have recovered from an overall service level perspective. So, that’s going to impact them a little bit both from a revenue and a margin perspective in Q4.
Julio Romero: Okay. That’s helpful. If you could talk about the Framing segment a little bit and how the window and wall portion performed? And maybe just talk about the runway for margin improvement going forward within the window and wall portion of the segment to the extent that you can?
Ty Silberhorn: Yes. So, I mean obviously, we don’t give any financial details on the business units below the segment level. I will say that within window and wall there, that is one of the areas that we have walked from some less profitable product offerings. So, they have seen some year-over-year negative volume with respect to that. When we look at framing as a whole, even storefront and finishing, which is performing well, kind of at or above our margin expectations, in both of those businesses, we actually see some significant opportunities with our lean initiatives to drive productivity and efficiencies in the facilities. Probably a bigger upside opportunity to help improve margins in our window and wall, but we also see some of that opportunity within storefront and finishing. That’s helpful especially to try and offset some of those one-time gains they had in the first quarter and part of the second quarter of this year.
Julio Romero: Great. Thanks for taking the questions and happy holidays.
Ty Silberhorn: Same to you. Thanks Julio.
Operator: And I am showing no further questions. I would now like to turn the call back to Ty Silberhorn for closing remarks.
Ty Silberhorn: Well, thanks again for joining us today. I want to remind everyone that we will be back in a few months to wrap up our fiscal ‘24 and our Q4 earnings call and give you our outlook for fiscal ‘24. Until then, enjoy the holidays, and I wish everyone a Happy New Year.
Operator: And this concludes today’s conference call. Thank you for participating. You may now disconnect.